Operator: Good morning. My name is Michael, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 2010 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Mr. Paul Fehlman. Sir, you may begin your conference.
Paul Fehlman: Thank you, operator. Good morning, and welcome to Flowserve's Second Quarter 2010 Earnings Conference Call. Today's call is being webcast with our earnings presentation via our website at flowserve.com. Simply click on the Investor Relations tab to access the webcast and the accompanying presentation. For those of you that are listening to today's call through our dial-in phone number, and also wish to follow along with the earnings presentation slides via our website, please click on the Click Here to Listen Via Phone icon at the bottom of the event details page. The webcast will be posted at flowserve.com for replay approximately two hours following the end of this call. The replay will stay on the site for an on-demand review over the next few months. Joining us today are Mark Blinn, President and CEO of Flowserve; Tom Ferguson, President of the Flow Solutions Group; and Tom. Pajonas, President of the Flow Control division; as well as Kyle Ahlfinger, VP and Chief Marketing Officer; Dean Freeman, VP Finance and Treasurer; and Dick Guiltinan, VP Finance and Chief Accounting Officer. Following our commentary, we will begin the Q&A session. Regarding any forward-looking statements, I'll refer you to yesterday's earnings release and 10-Q filing and today's earnings presentation slide deck for Flowserve's Safe Harbor Statement on this topic. All of this information can be found on Flowserve's website under the Investor Relations section. I encourage you to read these statements carefully with respect to our conference call this morning. The information in this conference call, including all statements by management plus their answers to questions related in any way to projections or other forward-looking statements, are subject to Flowserve's Safe Harbor. Now I'd like to turn it over to Mark to begin the formal presentation. Mark?
Mark Blinn: Thank you, Paul, and good morning, everyone. First, I will take a moment to review our second quarter results and highlight a few important trends. We had another solid quarter, with earnings per share of $1.62. This included the impact of $0.10 per share of net realignment charges and $0.19 of net after-tax currency effects below the operating lines. Bookings for the quarter were $1.13 billion. This represented an increase both year-over-year and sequentially, and it was our seventh consecutive quarter of bookings around $1 billion. Looking at our order book, two things I think are important to point out. First, our book-to-bill ratio for the quarter was 1.18 and 1.15 year-to-date, as we saw some projects released into the market. Second, our aftermarket bookings grew to around 40% of overall bookings during the second quarter to $449 million. That's up almost 10% versus last year and about 13% sequentially, reflecting that our end-user focus and investment continues to create aftermarket growth opportunities. Looking at margins year-over-year, operating margins were stable despite lower revenues. The benefits of realignment, supply-chain management, cost-saving initiatives and the steady aftermarket business have offset some of the margin headwinds from price and volume. It is also important to point out that we've continued to position the company to drive disciplined, profitable growth. In mid-July, we bought Italian valve manufacturer, Valbart. This fills a product gap in our Flow Control division and provides good growth opportunities. We continue to reposition the business through our realignment program, our capital investment plans and our strategic localization initiatives, and we also began to execute on our plans to position the Industrial Products division to grow their top line and improve margins. Now let's look at a few aspects related to our business outlook. Many of our markets are still feeling some of the effects from the recent financial crisis and economic recession. And during the last quarter, events around the world caused concern as to whether we might face another recession. For example, the news related to Greece and other European countries created concern over sovereign debt. The oil spill in the Gulf of Mexico caused concerns over the future of deepwater drilling and production. There was a level of uncertainty about China's ability to maintain its aggressive growth. Pending financial legislation placed uncertainty on the availability and cost of capital. And we also saw volatile fluctuations of currency exchange rates around the world. With all of this uncertainty, we believe that over the near term, our market opportunities will remain choppy, meaning that some of the sectors and markets will present opportunities and some will remain challenged. But over the long term, many of our markets are positioned for growth, particularly in developing and emerging markets, as the needs created by their economic growth plans should support future capital investment in critical areas like oil, natural gas, power generation and water. This is why our investments in these regions are a priority in positioning Flowserve to participate in this future growth. These markets, however, remain subject to competitive pricing conditions as we continue to see pricing headwinds. Our approach to this challenge is to maintain discipline in the business we pursue, focus on operational excellence and constantly review our operations and processes to optimize our cost structures. This continuing management discipline contributed to our margin performance in the quarter. The next graphic shows our seven key strategies for the next five-year period. You may recall that I briefly touched on four of these during the call last quarter. We've highlighted the first one labeled Disciplined Profitable Growth. As I mentioned, we believe that our served markets will continue to provide long-term growth opportunities, which will vary by industry and geography. An objective of this management team is to organically grow at a rate which exceeds the market growth rate and do it while delivering on our shareholder return commitments. Our growth strategy is to focus on organic growth to maximize the value of our existing portfolio, and we will also pursue strategic acquisitions where we can leverage the combined strength of the two companies to create incremental value. A great example of this strategy is our recent acquisition of Valbart. This acquisition fits our growth strategy well. It provides for a larger serve market, leverages existing resources, pulls through organic sales and integrates technology into our portfolio, which strengthens our ability to serve our customers. Now let me take a moment to cover one more of our key strategies, Employee Focus. The intent of this strategy is to attract and retain the highest-caliber personnel in the industry. We want to create an environment which engages and develops each employee and provides them with a rewarding career. As we have said on many occasions, our people are our greatest asset. The reason I want to highlight this key strategy is to recognize that in order to achieve the other six strategies, we must have the right talent in our organization. During my recent travels, I had the privilege to meet and talk with many of our associates. I left these meetings excited about the outstanding personnel we have in our company. Our management team is in place and we are focused on leading and developing this company. I am confident that we have a strong organization, ready to meet the challenges of growing this business globally. All things considered, I'm pleased with our performance in this market. The organization has responded well to the challenges presented to them, and we are focusing through this economic cycle to position the business for profitable growth. Now I'll turn it over to Kyle Ahlfinger to give us a review of our markets. Kyle?
Kyle Ahlfinger: Thanks, Mark and good morning. I'm Kyle Ahlfinger, Flowserve's Chief Marketing Officer. For the next few minutes, I'd like to provide an overview of the long-term outlook for our markets, from both an industry and a geographical point of view. Looking at bookings year-to-date from an industry perspective, as we have noted in previous discussions, we have seen improvement in project activity in oil and gas. Bookings in this industry have improved measurably compared to the first half of 2009. Industry forecasts for oil and gas reflect a positive outlook for capital spending due to demand growth projections over the next decade. These growth projections have improved since early 2009. It is important to note that future demand growth is predominantly in the developing regions. Mature markets are staying relatively stable or even dropping slightly due to overall energy efficiency improvements and environmental protection planning. Long-term capital spending plans indicate increased spending for both international and national oil companies. International oil companies are focusing a majority of their spending on upstream investments to increase their levels of future proven reserves. The majority of downstream and midstream spending is with national oil companies in the developing regions. Looking downstream, industry data shows leading refinery investment areas over the next five years to be the Middle East, China, Latin America and Southeast Asia. Moving to power generation, the long-term outlook for this industry has remained relatively unchanged from previous reviews, variations of the timing of expansion projects and the type of fuel sources being considered. These modifications are being driven predominantly by environmental programs and legislation. Both the European Union and the United States are working on plans to reduce sulfur dioxide and nitrogen oxide within the next few years through the Industrial Emissions Directive in Europe and the Clean Air Transport Rule in the U.S. The targeted reduction levels will require either existing plants to invest in emission control systems or plan for their replacement with new plants that use cleaner fuel sources. Some industry reports forecast that natural gas could provide a bridge between the desired objectives and greater utilization of renewable energy. A recent event related to renewable energy was the announcement of the funding of $1.85 billion from the American Recovery and Reinvestment Act for the advancement of solar power. Approximately $1.4 billion of this funding will support the construction of a large-scale concentrated solar power project in the Western United States. With the desire for cleaner electricity, planned investments are projected to increase in nuclear power globally. Recent reports were released concerning Vietnam's plan to expand their use of nuclear power with up to 14 new reactors by 2030. This capacity would be incremental to the already increased capacity plans in major regions such as China, India and the Middle East. As we've discussed in the past, Flowserve has developed technology and flow solutions which are well suited for most forms of power generation. We believe that our product offerings, application solutions capabilities and global aftermarket presence position us well for growth opportunities in this industry. In the chemical and water industries, market outlooks are consistent with what we reviewed last quarter. The developing regions, particularly China and the Middle East, are leading the way in new capital investments for chemical capacity expansion, particularly in petrochemicals. Now let's take a look at a few geographical regions and their outlooks, focusing on the Middle East, China and Latin America. Projections for the Middle East support investments in oil, natural gas, power generation, chemical and water. One recent commentary stated the Middle East will become a major exporter of petrochemical products globally over the next decade. This is consistent with the strategy of the region to extend their market participation into the higher-value products within the oil and chemical markets. The Middle East is also projected to lead the global market in desalination investments over the next five years. Their overall economic growth and urbanization expansion will drive demand for potable water and also increase demand for electricity. We believe that our investments in expanding our presence in the Middle East, along with enhancements we have made to our portfolio of products and solutions, will provide growth opportunities in energy, chemical and desalination investments planned in this important region. Looking further east, China continues to experience GDP growth which exceeds initial expectations. In the first half of 2010, their GDP grew 11.1% over the same period in 2009. This was strongly supported by a 13.2% increase in secondary industries, including mining, electricity and other energy-related industries. Reviewing the forecasted capital investments over the next five years, China's projected to lead in power generation and petrochemical. China is also projected to be one of the larger investment regions for expansion in refining capacity. A recent report from China states that the forecasted power generating capacity is expected to reach 1,350 gigawatts by 2015 from an installed capacity of 960 gigawatts at the end of 2010. As China continues to grow its economy, we believe that our manufacturing presence, service network and strategic joint ventures provide us with future growth opportunities. Finally, let's take a look at Latin America. This region is in a variety of development stages depending upon the country. Our sales in this region have grown measurably when comparing the first half of 2010 to the same period in 2009. Our strategy is to continue to expand our presence in key market areas. This will allow us to pursue business growth opportunities and to stay abreast of new business opportunities as countries develop their economies. As we have discussed on previous occasions, we are in the process of expanding our manufacturing presence in Brazil, as well as our service capabilities in other key countries throughout the region. Let's now take a look at our aftermarket business. As Mark noted, we experienced good sequential and period-to-period growth in our second quarter aftermarket bookings. Aftermarket bookings for the first half of the year grew 8.1%, compared to the same period in 2009, including a benefit from currency. On the sales side, aftermarket continued to improve in percentage of total sales compared to the previous year. This contributed 38% of sales for the first half of 2010. As we look at aftermarket opportunities going forward, we believe our extensive global network of Quick Response Centers will continue to provide opportunities for market share growth. Our Integrated Solutions group will also provide new growth opportunities through their ability to deliver operational improvements and optimize equipment performance. In closing, we continue to see long-term growth opportunities in our served markets around the world. We are also confident in our capabilities to provide our customers with proven products, solutions and services to meet their needs and exceed their expectations. Now I would like to turn discussion over to Tom Ferguson, President of our Flow Solutions Group. Tom?
Thomas Ferguson: Good morning. I'm Tom Ferguson, President of the Flow Solutions Group, which encompasses the Engineered and Industrial Product divisions. Generally, I am pleased with the overall performance of the Flow Solutions Group. Our focus on end-user customers, operational excellence and strategic growth initiatives continued to provide a platform to drive bookings growth, while generating solid sales and income performance. By using our global opportunity management and sales information tools, we continue to drive our project performance discipline, but have also continued to see pricing pressure in most OE sectors. Our customer-focused end-user strategy allowed us to sustain strong customer satisfaction survey metrics, and also helped us maintain 91% on-time delivery to customers' requests to date. For the Engineered Product Division, or EPD, Q2 bookings growth of 7.2% was driven primarily by oil and gas project activity. In spite of mixed levels of project activity in our core markets, we had strong performance in refining, power, oil pipeline and LNG projects. We also are pleased with our aftermarket business, which strengthened in the face of relatively low customer maintenance spending levels. Our end-user focus and Integrated Solutions initiative offset the natural tendency of refineries to pull pump repairs back into their own shops. Sales were down 9.6%, primarily due to the lower backlog entering the year. Gross margin was up to 36.9% due to favorable aftermarket-to-OE mix, continued focus on operational excellence and some realignment savings. We are pleased with our operating income margin of 20.3%, driven by executing on our realignment actions and continued emphasis on SG&A controls. Moving to the Industrial Product Division, let me say that I remain excited about the opportunity this new structure provides us to focus on these products and markets. For Q2, the Industrial Product Division saw increased bookings of 6.1% versus Q2 2009, but is still slightly below prior year for the first half. This was due to continued weakness in the chemical and water markets in North America and Europe, but bookings were bolstered by the robust oil and gas and power activity. For aftermarket, Industrial primarily handles parts and does not handle repairs and services. Gross margins were down 280 basis points to 25% due to the significantly lower sales. Realignment savings, CIP and supply-chain efforts were not enough to offset the 17.8% sales decrease. SG&A was reduced by 12.9%, driven by cost containment and realignment efforts. Overall operating margin of 8% was down 380 basis points versus 2009. This was primarily due to the lower sales volume caused by the lower starting backlog at the beginning of the quarter, as well as realignment charges taken during the quarter. We remain cautiously optimistic about the opportunities we see in oil and gas in the Middle East, Russia, Latin America and Asia. We're also seeing increasing opportunities in the power and desalination markets in Asia, the Middle East and even in the U.S.A. The power sector continues to spend, as it has consistently throughout the past few quarters. We have been successful in booking several larger long-lead aftermarket jobs that leverage our Integrated Solutions technical capability. We have also completed the integration of our Pump and Seal division customer-facing organizations, with minimal impact on our overall performance. We faced challenging end markets in 2010, but Flowserve is well positioned to leverage discrete opportunities for growth in our core energy and infrastructure markets, and in both original equipment and aftermarket solutions. While we have historically been strong in our Engineered Products and markets, the separation of Engineered and Industrial allows us to focus more on the key success factors for our Industrial Products and markets. While we cover our end-user customers with a fully integrated sales and distribution organization, we have dedicated a project pursuit team to the Industrial division to ensure focus on these products. We will use the same strategy we used when we first took over the Pump division in 2003, and focus on significantly improving the operating platform, while focusing on fully integrating our supply-chain efforts across our internal manufacturing sites to provide more focus to low-cost sourcing and platform optimization. To put this all in perspective, the focus on the industrial key success factors that this new structure provides us should allow us to generate significant growth and margin improvement. I'm excited about the opportunities this new structure offers us in the Flow Solutions Group. And now over to Tom Pajonas to cover FCD.
Tom. Pajonas: Thanks, Tom, and good morning, everyone. My name is Tom Pajonas, President of the Flow Control division. In summary, I'm pleased report another quarter of solid performance. Bookings in the quarter versus prior year increased across all industries, including the aftermarket. Gross margin were up versus prior year, as we continued to execute our core initiatives, while maintaining an on-time delivery of almost 93%. We continue to plan for the future as evidenced by our acquisition of Valbart, which will enhance our valve product line offering, predominately in the oil and gas industry. While we will discuss this acquisition in greater depth, this acquisition, along with our capital expenditure plan, our new product developments and our continuing drive to increase service capability worldwide, should produce additional leverage in our business. Now let's review the financials. Second quarter bookings increased $51 million, 18.6% compared with the same period in 2009. Book-to-bill during this period was 1.21 versus 0.91. The overall net increase in bookings was the result of strength in the oil and gas, chemical, power and general industries. This growth was largely driven by North America and the chemical industry in Asia, as distributors continued to restock to meet end-user demands. Bookings for the first half of 2010 increased $67.9 million, 11.8% compared with the same period in 2009. The increase in bookings is primarily a result of strength in the oil and gas industry in EMEA and North America, and increased bookings in power generation and general industries. Increased bookings were partially offset by decreases in the chemical industry, largely driven by EMEA. Distributors continued to restock during this period. Sales for the second quarter decreased $33.7 million, or 11.1% compared with the same period in 2009. Sales of original equipment decreased across all industries, primarily in EMEA, and in the chemical industry in Asia-Pacific. Sales in EMEA, Latin America and the Asia-Pacific decreased approximately $26 million, $6 million and $5 million, respectively. Sales for the first half decreased $74.8 million, 12.5% compared with the same period in 2009. Sales of original equipment decreased across all industries. Sales in EMEA, Asia-Pacific and North America decreased approximately $35 million, $18 million and $15 million, respectively. Backlog of $574.7 million at the end of the second quarter increased $89.4 million, 18.4% compared with the end of 2009. Currency effects provided a decrease of approximately $28 million. A book-to-bill rate of 1.23 for the first six months drove a strong increase in backlog and forms a stronger base going forward. Gross margin performance increased 37.2% from 36% in the quarter, and year-to-date to 37.3% from 36.1%, or an increase of 120 basis points for both periods. Operating margin increased 20 basis points to 15.7% from 15.5% in the quarter, and on a year-to-date basis was the same as the prior period at 15.7%. Despite the lower sales volume, we've been able to drive operating margin, as we see the benefits of our cost-containment and realignment initiatives initiated last year, as well as changes in the mix. Despite the continuing overall market uncertainties, there are a number of encouraging things happening in the market over the short term that should lead to sustainable markets in the long term. In the oil and gas market, LNG project activity remained strong globally for construction of liquefaction and regasification terminals. Overall, Australia, Europe, Asia and Africa are in various stages of LNG investment activity. In the refinery market, a number of large projects are moving forward in the Middle East, with various EPCs receiving awards in the second quarter. Our new Flowserve/Abahsain joint venture facility in Saudi is almost complete, with the opening schedule for this summer, which is designed to take advantage of these regional investments. The shale gas drilling activity in the U.S., and related construction of processing facilities, gathering systems and pipelines, continued to drive our booking activity in the second quarter for plug valves, sold directly and through distributors. In addition, gas pipeline activity was strong in China for the quarter. Exploration and production proposal activity for new floating production storage, or floating facilities, remained robust in West Africa and Brazil. In the power market, new nuclear construction continues to be active. In the U.S. alone, there are license applications for 22 reactors that have been submitted to the NRC. China has plans to increase nuclear generation from 9 gigawatts to 70 gigawatts by 2020, or almost 44 new reactors, while India expects to build approximately 20 more reactors over the next 15 years. The fossil market continues to be challenged in the U.S., due to uncertain governmental CO2 policies. On the other hand, China and India will drive the majority of the coal-fired unit growth, based primarily on supercritical boiler technology requiring more sophisticated valve metallurgy. We continue to support all power majors with their standardization programs with valve offerings that will allow us to reduce overall plant lead times. Life extension requests on nuclear units are increasing, as our customers look to extend the original life by 20 years. In the U.S. alone, there are currently 20 submitted reactor applications for life extensions. These projects will require life extension analysis and new valve products. In Chemical, petrochemical development plants for the Middle East, particularly Saudi, are gathering pace as we're starting to see feed-based inquiries coming out of the large EPCs. The chemical industry in the U.S. continues to remain flat with no major capital investment planned for 2010. Investments are, however, picking up pace in Asia, particularly for chlorine and PVC production. Chemical remains an important investment focus in China, even though certain chemicals now appear to have overcapacity. Brazil appears headed for future investments in the production of industrial chemicals in the next four years. In the general industries market, overall capital project activity has increased over last quarter in pulp and paper in Latin America, mining in South Africa and Australia and district heating in Russia. In our aftermarket business, we continue to experience growth opportunities as we expand our service capabilities. Chemical MRO has increased over 2009, as distributors have begun to restock their shelves due to end-user demand. And nuclear MRO activity continues to be stable as plant life extension and restarts are executed. Due to new construction cost, and the overall project lead times, many customers are looking at life extensions as a way to satisfy their energy needs. MRO steam system activity in Germany and the U.S. is active with distributors and end-users needing to replenish inventories. Russian distributors are increasing their pace at building inventories to support local demands, as the credit situation continues to turn more positive. In spite of some uncertainty in the market, we continue to stay focused on our localization efforts, as customers in the Middle East push for local manufacturing and service capability. This parallels our efforts to provide technical proposal support to our customers at their facilities. As I look to our future growth, we place a focus on diagnostics, remote monitoring and overall actuation development, which also drives our research and technology. As I've mentioned earlier, we're very excited about our new Valbart acquisition in the trunnion ball space, which will allow us to make a more complete offering to our oil and gas customers, namely with trunnions, control valves and gate, globe and check valves. This also leverages our existing route to market capabilities across essentially the same customer base. This acquisition will primarily focus on a large portion of the $3 billion worldwide trunnion market, and will concentrate predominantly on oil and gas production and gas transmission applications. This will enhance our coverage in the upstream and midstream oil and gas market. Other appropriate applications in the power and chemical markets will also be pursued over time. The Valbart business is headquartered in Mezzago, Italy, and will become our lead center for trunnions worldwide. Other locations include a 67%-owned joint venture in Chengdu, China, and another location in Houston, Texas. Based on the year ending May 31, 2010, Valbart's unaudited results include revenues of approximately $104 million, with $22 million of operating income. The existing Valbart management team has been in place since 2003, and will continue to manage the company as a lead center. We are excited by the sales synergies that exist as Flowserve begins to leverage our sales force and technical service network with this new product line. Our experience with Valbart goes back to 2009, when we established our joint venture to develop a new trunnion control technology. We believe that this history, a stable management team, sales leverage opportunities and a detailed integration plan will lead to the success and growth in the market. Overall, we will continue to assess acquisitions and the best deployment of capital as we look for the best ways to grow our business. And now I'd like to turn it over to Dick Guiltinan.
Richard Guiltinan: Thank you Tom. Good morning. I'm Dick Guiltinan, Chief Accounting Officer. I'd first like to recap a few financial highlights that were mentioned previously. We are pleased with an EPS of $1.62 per share, considering the charges for realignment and foreign currency. Bookings for the quarter around $1.1 billion included a very large order of over $80 million, and a negative currency effect of $12 million. Bookings grew 9.5% over the second quarter of 2009. On a sequential basis, bookings grew 6%, reflecting that large order and significant currency headwind. The solid bookings number for the first half leaves us with a backlog of $2.5 billion going into the second half of the year, an increase of 5.5% compared to December 31 of 2009. Our margins for the quarter, both gross and operating, have remained at solid levels, even with the sales decline of 12% for the quarter. In previous quarterly calls we have discussed uneven order flow, reduced backlog at the beginning of the year and pricing headwinds as sales challenges, but we also discussed our continuing efforts to properly scale the business, reduce costs and drive operational excellence. Margins for the quarter indicate our supply chain, low-cost sourcing, realignment and other cost controls are realizing benefits. SG&A expense reduction remains a key focus area. Turning to the year-to-date results, the themes remained consistent for the second quarter: increased bookings and solid margins. Realignment and currency are highlighted in several bullet points, so let me focus on those areas later. My colleagues' earlier presentations covered key operational results for the quarter, so I'll discuss the financial ones. You'll note the large increases in the other expense, net line, where the effects of currency volatility in our transactions are reported. The recent movement of the euro exchange rate has several effects on our financial statements. The effect on translating our balance sheet flows through equity; the effect on translating our income statement is embedded in the line items; and most noticeably, the effects of transaction gains and losses, which are reflected in other expense. I'd like to discuss that transaction piece. We believe it's prudent to hedge the cash flows of certain large projects from the time of booking until we receive payment. A typical example would be an order from the Middle East in USD, which is placed on a plant in Europe. We attempt to protect the local currency cash margin as the order moves into backlog, then into sales and finally, to cash. Throughout the process, we are marking the forward contract to market as the exchange rates fluctuate. The underlying exposure in backlog does not have an offsetting effect until revenue is recognized later in the transaction flow. As we recognize revenue, we will see some margin effect as USD revenue and local currency costs flow through. Ultimately, at collection our protected cash flow is realized. During the second quarter, the mark-to-market loss on cash flow hedges was $16 million. For the first half of 2010, the mark was a loss of $26 million. As you know, we were also impacted by the devaluation of the Venezuelan Bolivar. Our most recent Forms 10-K and 10-Q have detailed descriptions of the Venezuela currency effects. We reported a net charge of $8.6 million, about $0.15 per share year-to-date, in the other expense line. It is better than our initial guidance of $0.25 per share because we were able to repatriate some cash at the Venezuela essential items rate for selected obligations. This reduced the effect of the devaluation by $3.8 million. Our tax rate for the quarter was 26.8%. This is a little better than our estimated structural rate of about 28%. The tax rate for the quarter reflects the impact of foreign operations, planning initiatives and discrete items such as FIN 48 reserves, which can be episodic. A couple of quick comments about realignment. We are substantially complete with the previously announced realignment programs. Expected program charges are about $88 million. We have spent about $76 million of that at the end of the second quarter. We now estimate that realignment-related cost savings will be about $92 million for the full year. Our best estimate of the run rate savings, when all actions are complete, is still $110 million. But this includes some additional expected savings, offset by currency-related reductions. Let me make a few comments about cash flow. Our second quarter was strong, about $96 million in operating cash flow. This offset about 2/3 of our cash used in the first quarter. Operating cash flow for the first half reflects payments of our broad-based annual incentive bonus, working capital requirements and some reductions in our advanced cash. Our CapEx for the first half was $25 million, with some larger projects slated for the second half. For the year, we expect to spend between $100 million to $115 million. That's down slightly from earlier views, reflecting currency effects and reconsideration of a few projects. We've continued to return cash to shareholders through $16 million in dividends and $11 million in share repurchases during the quarter. We closed the quarter with $500 million cash on hand, and as Tom Pajonas noted, we invested about $200 million of that balance on the Valbart acquisition in mid-July. I haven't covered every line in these pages. The earlier discussions addressed most of the key points. Here are my takeaways from the quarter. Our good book-to-bill ratio leaves us with a strong backlog. While we continue to see pricing challenges, our gross margin improvement reflected the benefits of a favorable mix and realignment, low-cost sourcing and other cost control initiatives. We continued to drive for operational excellence and maintain discipline in pricing, in CapEx and in evaluating future uses of cash. Our realignment was effective and helped create a strong operating platform for the future. And finally, the Valbart acquisition was an important step in filling a strategic need as a platform for growth. In summary, we had a very solid quarter in a challenging environment. We're well positioned for the second half of the year. Moving ahead to guidance for the full year. We have a couple of things to consider. First, as we've talked about many times, about 70% of our business is international. This means revenue, operations, people, Quick Response Centers, all around 70% international. To reiterate, the mark-to-market on FX contracts flows quarterly below the line in other income and expense. With the strengthening of the dollar in the first half of the year, we recognized about $0.35 below the line from FX exposure, not including the $0.15 effect of the Venezuelan devaluation. There is also an above-the-line affect, as foreign P&Ls get translated into U.S. dollars. We estimate this effect was about $0.12 negative to our earnings outlook in the first half of the year. So all things considered, our earnings estimate took a negative hit of about $0.47 per share in the first half of the year, simply based on the movement of the dollar. As we think about the second half of the year, we are now using a rate of around $1.25 to the euro. We believe this will create an additional negative effect to earnings, when compared to the $1.43 rate we used for our original full-year guidance. On a more positive note, we are reducing the expected full-year negative effect to earnings from the devaluation in Venezuela from $0.25 per share to the already recognized $0.15 per share we have taken in the first half of the year. Despite the FX burden, we are reaffirming our guidance range for the full year, of between $6.35 and $7.15 per share. This includes the $0.26 per share in realignment charges we have been citing all year and the new $0.15 per share charge from the Venezuelan devaluation. The $0.80 range for the full year is appropriate given the potential for continued volatility in currency markets, as well as our continued cautious outlook for the recovering global economy. Let me now hand it back to Paul Fehlman.
Paul Fehlman: Michael, we're ready to open things up for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Charlie Brady [BMO Capital Markets].
Charles Brady - BMO Capital Markets U.S.: I just wanted to go back to the last comment, on the guidance and that $0.47, just so I make sure I understand it. Year-to-date, first half, there's been a $0.47 headwind to earnings, correct?
Richard Guiltinan: Hi Charlie, it's Dick Guiltinan. That's correct.
Charles Brady - BMO Capital Markets U.S.: In your, in the guidance, the original guidance, when you were using a $1.43 euro, I guess I'm trying to, it's $0.47 relative to where the guidance used to be?
Richard Guiltinan: Right. Let me start. When we did the guidance, we used a 1.43. At that point, we would've translated the above-the-line effects at that rate. As we've gone through the first half, obviously we've averaged it down to about 1.33 for the first six months. And in addition to that, we actually closed June at about 1.22. So there's clearly been a degradation to just our translation effect. In addition to that, below the line, with that level of currency degradation, obviously our mark-to-market hedge was a lot larger than we would've anticipated with a flat currency.
Charles Brady - BMO Capital Markets U.S.: I guess what I'm trying to get at is, the original GAAP guidance with the Venezuelan currency and the realignment cost, had you been using the 1.25 exchange rate when you first made that guidance, would your overall guidance have been then $0.47 less?
Thomas Ferguson: I mean if we could have seen the impact of the currency, the 1.33 average that Dick talked about, and then the mark at 1.22. Remember those marks come on one day a quarter. So the below-the-line is, depends on where the currency is on one day of the quarter. Had we known that, certainly we would've, that would have impacted our guidance negatively at the beginning of the year.
Charles Brady - BMO Capital Markets U.S.: I guess what I'm trying to get to then is, all things being equal, the guidance has gone up fairly meaningfully, relative to when you first originally put guidance out.
Richard Guiltinan: Well, interpret it how you want. The fact is that we've been able to overcome the impact of this currency and maintain our guidance.
Charles Brady - BMO Capital Markets U.S.: Let me switch gears then. The aftermarket bookings, 40% of bookings aftermarket in the quarter, it sounds as though there's some pretty still good momentum in aftermarket bookings. If we look to the second half, do think we'll get a similar type of mix?
Mark Blinn: Well Charlie, we do want to comment on mix going forward. I mean I think what we were pleased with in the aftermarket is, as Tom commented, in the face of, certainly in our mature markets, spend being pulled down, we were able to grow the aftermarket business. And that's on the heels of a lot of strategic initiatives these two folks have. Keep in mind, as you walk forward, last year when we talked about bookings in the first half of the year, and I think even in the third quarter, we talked about the challenge around these projects getting let loose, right? Intuitively what that would say is that that's going to put pressure on your OE mix component of your overall revenue going forward in future periods. Well as we've commented now, and we referenced one in this period, we've started to see some of those projects come loose. So if all of the things being equal, that would tell you that mix should shift towards more OE. Having said that, our intent is to continue to grow the aftermarket as much as possible. So if we maintain the mix, it's because we're growing our aftermarket business.
Charles Brady - BMO Capital Markets U.S.: That 70% of your business that is international, how much of that would you consider developing markets?
Mark Blinn: Now that's a good question. I wonder if we can reference that on the slide because we don't break out the Middle East. But clearly, if you look at the sales outlook on Slide 8 I think it is, you can see Asia Pacific and Latin America. Middle East and Africa, actually. I'm sorry. We did change that. It's right there. It's Middle East and Africa, Asia, Asia-Pac and Latin America. Those are all emerging, or what we'd call kind of emerged regions.
Operator: Your next question comes from the line of Scott Graham [Boenning & Scattergood, Inc.].
R. Scott Graham - Boenning and Scattergood, Inc.: Could you talk a little bit about the bookings as the quarter progressed? Was this just more of a continuation from what we saw in the first quarter with these releases? Or was there may be a strengthening? And just directionally, how did you feel as the quarter progressed?
Mark Blinn: I think there's an overall phenomenon that's in our industry, is that you tend to see most of your bookings in the last month because people push hard and there's the aspect of that. I think overall, what we saw in the bookings and in the book-to-bill and the sequential growth were certainly encouraging, keeping in mind in the second quarter we had that large project that came in as well, and that tipped it up quite a bit. But for the most part, I think our general overall comments around the market is there's still some choppiness out there. And it was just five weeks ago, six weeks ago, that the market was very concerned about Europe, China. There was volatile fluctuations in currencies. There was a lot of uncertainty. And that'll manifest itself in bookings over short term, especially even on some of the short-cycle things, people will stop and hold.
R. Scott Graham - Boenning and Scattergood, Inc.: Very good. On the larger booking, even more specifically this quarter that you were able to finally book, was this a situation that -- and maybe I shouldn't have said finally, but is this a situation that was in the hopper for a while, and you were able to finally write that ticket? And then are there similar, and I don't know talking sizes, but kind of larger, you don't have to quantify, but larger types of bookings that you are hopeful to be released in the second half?
Mark Blinn: Yes, I don't want to comment on large projects going forward. I mean we always work on them, but they're very competitively bid, Scott. I want to make sure that's clear. In our opportunity management, we'll see these projects well in advance, and they come out when they do. So it wasn't a matter of we were struggling to get this one through the hopper or anything like that. We did see some projects like the Lukoil one we referred to, I believe on our first quarter call, that that was something that we were trying to pull in and it'd gotten deferred. But we're starting to see some of these projects get released, as we commented, but it's very competitive. And just over the near term, with what I talked about, the world was a different place six weeks ago. It's still kind of choppy over the near term.
R. Scott Graham - Boenning and Scattergood, Inc.: Is that larger booking of this quarter one that was kind of what you were waiting on, or was that something that kind of all new in the quarter? I'm just trying to gauge the sizes.
Mark Blinn: That was pretty much ordinary course of business.
R. Scott Graham - Boenning and Scattergood, Inc.: Does the pricing environment feel a little heavier 2Q versus 1Q, in the sales number, that is? Because the bookings in the first quarter, second quarter of last year were kind of hard to tell from an outsider what the pricing looked like. Did the sales roll out with a little bit more pricing pressure in 2Q than 1Q?
Mark Blinn: I mean, that's been a general trend we've been calling for a while is, as we've seen the backlog roll off, some of the higher priced backlog even going back to 2008, has been rolling out. And as Tom commented, I mean, we still saw some of the good pricing in Q2, but that's been rolling off. That's the margin headwinds on us going forward that we've been calling out around pricing.
R. Scott Graham - Boenning and Scattergood, Inc.: Fair. Last one is this: Middle East and Africa sales were -- looked like in the second quarter they were down about 20% plus. And I'm wondering on that if, is that a situation where it's more OE business in that market and that's why maybe that decline was a little heavier than some of the other regions.
Richard Guiltinan: Scott, this is Dick Guiltinan. I think if you're looking year-over-year around Middle East and Africa, there were several large orders in 2009 destined into Africa that didn't recur. It's not part of an overall trend.
Operator: Your next question comes from the line of Mike Halloran [Robert W. Baird].
Michael Halloran - Robert W. Baird & Co. Incorporated: Just back on the clarifying a couple FX comments on the guidance side. To be clear, the $0.47 does not include the Venezuela, so it's just the incremental $0.35 from the currency hedges and then the translation impact?
Richard Guiltinan: Yes, that's correct, Mike.
Michael Halloran - Robert W. Baird & Co. Incorporated: And then on going-forward basis, I know you've commented that you're still expecting some currency-related headwinds in the back half of the year. Anyway you could quantify that? What you're currently thinking?
Richard Guiltinan: Well, I wouldn't want to talk about kind of forward currency effects, but I think there are couple of things we can think about. If you consider that we started the year at 1.43, we closed June at 1.22, and if you look at the average for the first half of about 1.33, that gave us that above-the-line impact on operating income of about $0.12. If the rate stayed constant down at kind of a 1.25 for the balance of the year, I'd expect that $0.12 to be somewhat higher.
Michael Halloran - Robert W. Baird & Co. Incorporated: And then maybe thinking about the second half guidance a little bit differently, if you take out the currency headwinds, or you exclude those, did you guys operationally increase your guidance for the back half of the year relative to your previous expectations?
Mark Blinn: You know what, I don't want to say anything other than what we said about our guidance. I mean clearly, my point was earlier was we've maintained our guidance, and clearly we've seen some headwinds relative to our original guidance around currency that we didn't anticipate. So all other things being equal, having said that, just want to be clear on this. While the dollar strengthened against the euro, it has weakened against some other currencies, so you got to think about the entire basket. But all in all, we've certainly seen a headwind. And it's things that we've been talking about in our comments, is anticipated benefits around the realignment, great execution on the supply chain side, good execution within the factories. I mean anything that isn't delivered on time costs you more. And we've been focused on cost controls as you can kind of see in our corporate line. That's one area where we've been very focused on our costs as well. So I think that'll paint the picture for you, but I don't want to give any kind of pro forma guidance.
Michael Halloran - Robert W. Baird & Co. Incorporated: And then switching gears to the pricing side, I know you've commented on some pricing pressure that continues through the organization. Could you maybe break that up a little bit? And maybe talk about the end markets or divisions where you're seeing the most pressure?
Mark Blinn: No, we really, Mike, we don't go too much into pricing, other than telling you there's headwinds. I mean those are things that we kind of keep to ourselves in these discussions. But clearly, one thing, the general theme we can comment on is, most of the pricing activity is on the OE side. Aftermarket remains relatively stable.
Michael Halloran - Robert W. Baird & Co. Incorporated: And I'm assuming then, the EPD versus IPD, not wanting to comment on the pricing differences in those two divisions?
Mark Blinn: No, we don't break them out certainly by those at all. I think the commentary Tom made is IPD has some parts, less service. And the EPD has a lot of the highly-engineered equipment, also has a big portion of the aftermarket. And as he mentioned last time, that's where vast majority of the Seal assets went into.
Operator: Your next question comes from the line of Hamzah Mazari [Credit Suisse].
Hamzah Mazari - Crédit Suisse AG: First one, your bookings were way up, sales we're slightly off, SG&A came down and margins were very strong. Could you maybe comment on the operating leverage within your business model, some of the work that you're doing there, the work that's been done and how that holds up or improves as we look to next year, given where your bookings are tracking and what that implies for a stronger top line?
Mark Blinn: Well, I mean, the point around that is our realignment has been focused primarily on structural changes in our business. There have been some that have been volume-related. So the point to that is, we're designing these initiatives -- and by the way, when we talk about realignment, I just don't want that to be around cost-cutting. When we realigned, we have invested also quite a bit in some other regions around the world. That's all part of our general realignment concept. We just want you to understand the money that we're spending on taking specific capacity out or resources out. On the flip side, we're spending money elsewhere to drive strategic localization and market opportunities. But the point is, is we're designing this around, even our cost initiatives, around these being structural. When you look at SG&A, the S component will vary with, the sales component around commissions and everything will vary with sales. But a lot of the G&A side, we're designing to try to make that as much structural as possible to get that operating leverage. I'd say the same thing in our cost to sales line. Some of that will, of course, vary with sales, but as you can imagine, as we refine our processes, move capacity strategically or product opportunities, the goal there is around creating centers of excellence that drive very high-margin business. So I think the general theme that we want to leave you with is, what we're doing with this business, starting from the realignment initiatives, the cost controls, integrating the two divisions, breaking them out so that you could have separate focus, is around creating structural improvement in our overall platform. And the goal is, and our intent we mentioned, is we want to grow this business, both organically and inorganically if appropriate, the idea is, we want to create a scalable platform and be able to leverage to get the operating leverage.
Hamzah Mazari - Crédit Suisse AG: And the second question on cash deployment. Are there any other deals out there that are like Valbart and that fit your book of business? And then just confirming, does that have to be in all in Q3? And is the priority still reinvestment in the business and accretive acquisitions like the one you just did, versus going out and doing buybacks or increasing dividends, et cetera?
Mark Blinn: We've always been careful not to prioritize one over the other. The priority is to get a cash-on-cash return, internal rate of returns, and typically, we target in excess of 15%. That's the way we look at all of our opportunity, be it realignment, capital investment, cost savings or an acquisition. Don't comment specifically on M&A opportunities out there other than to say, and now we've indicated it, we've been considering things and we're very careful about how we do it. So we evaluate all of those options, including how we return value back to the shareholders over a period of time, because even a buyback has an internal rate of return to a shareholder. So that's the discipline we're going to use. And I think the point is cash-on-cash, we certainly take a long-term view of the returns on those investments, and that's how we'll distribute our capital. And we don't want to tilt or absolutely prioritize one versus the other. We evaluate all those opportunities.
Hamzah Mazari - Crédit Suisse AG: How should we think about share gains you expect with the QRC network bared out in the Flow Solutions Group? I'm just trying to understand, are we in very early stages of that, where share gains could materialize as that ramps up? How should investors think about that?
Thomas Ferguson: This is Tom Ferguson. I think that the way I like to look at is we have been building out QRCs and we've been doing that for several years now for both Pump and Seal QRCs, and I call it planting flags in a lot of countries. In many ways, that's to ensure that we get the aftermarket stream off of the installed base we've been putting out there on project activity for the last several years, and ensure that we defend it from the very beginning. As far as share gain, the other benefit of a QRC in an area is it keeps the business from going to third-party repair shops from the very beginning. Customers are still mixed in terms of what they keep inside to repair themselves and what they send out. So as these continue to be put in developing areas, I think we'll defend our own aftermarket, and it gives us the opportunity through the Integrated Solutions activities to take some share. But I don't want to put a forecast on that to say how much that's going to be. It's just it will continue to increase.
Tom. Pajonas: There's one point I would make, this is Tom Pajonas, that Tom Ferguson and I have talked about is, the QRCs are also becoming more important in the new equipment end of the business as many of these countries around the world look for localization of the products. So the QRCs are becoming more important in that aspect.
Operator: Your next question comes from the line of Kevin Maczka [BB&T Capital].
Kevin Maczka - BB&T Capital Markets: I guess I have two questions. The first is on IPD. Last quarter, you had a nice slide kind of outlining your expectations for a couple hundred basis points of margin improvement there. And of course, we're not seeing that in the first half because of the competitive pricing pressures and other reasons. But I'm just wondering, should we expect that to kind of continue to get worse in some sense before it gets better because some of your initiatives there are not immediate things? Or do you think we can kind of stabilize here before ultimately going higher?
Mark Blinn: I'll let Tom comment. I think more important is what he's going to do. We certainly don't want to start guiding margin trends here over the next couple of quarters. I think what you heard from him is we're focused on this. We certainly have some work to do. And get this, I have the utmost confidence we'll get it done. But it's probably more important to hear, as he commented specifically, what the opportunities are over the medium to long-term.
Thomas Ferguson: Yes, I think that we also, I noted in my discussion that we made some management changes at the end of the quarter, because we need to accelerate the impact of the realignment efforts. While we've made good progress, we've still got work to do. So we're going to accelerate that. And then the second thing that I also talked about in the first quarter, we're teeing up some pretty significant growth initiatives. Those will take some time to gestate and get underway. We've get some product development efforts that are critical. But we're stabilizing and definitely have a lot more focus on it. So as Mark alluded to, I don't want to predict we're going to get worse before we get better. I think we're likely to be tracking the rest of the year and continuing to drive on those growth initiatives as much as we can, while getting the realignment behind us.
Kevin Maczka - BB&T Capital Markets: And my other question is on the aftermarket, just to kind of revisit that. Nice growth in the quarter. There is a comment in here on one of the slides about still seeing stagnant maintenance spending. And of course, it sounds like you've seen some new projects let, so there's been a trigger point that's allowed that to happen. Have you seen any trigger point that has indicated that, that stagnant maintenance spending may improve?
Thomas Ferguson: Yes. This is Tom Ferguson again. I think the one positive sign that's occurred just somewhat recently is this refinery crack spread that's started to get better. And that's usually a good sign for the refinery maintenance spending. So that's good news. The other, and it's kind of the first bright spot we've seen in a while, the power electric utility maintenance spend has been fairly stable over the years. The one positive there is in the U.S., or actually around the world, with the really hot summer, that tends to be good for maintenance activity as well. So a couple of positive signs that we've seen just recently.
Operator: Your next question comes from the line of Jamie Sullivan [RBC Capital Markets].
Jamie Sullivan - RBC Capital Markets Corporation: A question on Valbart, are you expecting that to be accretive or dilutive this year? I know you mentioned that it'll be accretive next year. Just wondering what your expectations are for 2010?
Tom. Pajonas: Hi Jamie. This is Tom Pajonas. For the remainder of the year, we expect it to be slightly dilutive, and as we indicated, accretive for the following year.
Mark Blinn: And as you can imagine Jamie, we're still doing the accounting work around that. So we'll give some clarity later.
Jamie Sullivan - RBC Capital Markets Corporation: And then on realignment and some of the numbers there, you mentioned $92 million this year, and $110 million from the whole program. Does that suggest $18 million incremental next year that we should think about? Or am I missing something?
Tom. Pajonas: No. That's full of prime rate savings and most of our activity will be completed by the end of the year. So we would expect to see about $110 million as the run rate savings for '11.
Jamie Sullivan - RBC Capital Markets Corporation: And then, with the discussion around some of the maintenance holding off but increasing aftermarket, just wondering if you can talk about whether the increases in aftermarket there are some recovery in the market and spend loosening or whether you think that's share gain?
Thomas Ferguson: This is Tom Ferguson. I believe it's share gain, and because we are getting traction with the Integrated Solutions approach and especially with Pump & Seal, Seal's coming together and the end-user focus. So I'd say we, in the first quarter, we were integrating our customer-facing organizations, especially on the end-user side between pumps and seals, and second quarter, we were pretty much finished with that and started to see traction. So I think we picked up the pace and would believe we took some share.
Mark Blinn: And Jamie, keep in mind also when you look at share gain, that's share gain also from customers and local machine shops as well. So they're certainly the mix.
Operator: Your next question comes from the line of William Bremer [Maxim Group].
William Bremer - Maxim Group LLC: For example, QRCs, what's the total amount worldwide at this time? I know I've seen you reference the 150 that are servicing the aftermarket, but what's the total number?
Tom. Pajonas: The total numbers is just under 160. I want to say 158, but we are in the process of driving through new ones and looking at the network. So I think just under 160 is a good number.
William Bremer - Maxim Group LLC: And then Tom you mentioned that the mining and pulp and paper are starting to improve. Can you give us an idea of, geographically, where you're seeing that improvement?
Tom. Pajonas: Yes, I mean if you look at the pulp and paper, I mean, largely it's in Latin America, Brazil, and again that's probably one of the more cyclical industries, but that looks like it's beginning to awaken. And then the mining industry is a little bit more dispersed. You have Africa, you have Australia, you have Latin America on the mining side, and you've probably see some recent announcements from some of the EPCs and some big awards in the mining business also in their second quarter results.
William Bremer - Maxim Group LLC: And the last topic I want to approach is nuclear. I mean we're seeing a tremendous ramp, and not just in China, but Vietnam as you mentioned, a lot of different areas, even Russia, for example. Can you give us an idea, this life extensions, of what this -- give us a little more color there? What are some of the things that they are replacing in that? And what is the timetable of a project like that?
Tom. Pajonas: I mean, if you look at the life extension, generally the units are out there for 40 years in the original application for the permits. A life extension is generally a 20-year extension of the existing reactor. They vary depending on the condition of the base reactors but they tend to be long-lead projects. You could almost call them mini new equipment project orders. They're not classified as an aftermarket. The first thing that they do is an overall assessment on the plant, and they'll do a number of engineering studies, much like feedwork on oil and gas work. And then based on those studies, they would then successively put out bids for varied pieces of equipment and then let the overall order. So you're talking several months, if not a couple years, for some of those big life extensions.
William Bremer - Maxim Group LLC: And what aspect of this does Flowserve handle?
Tom. Pajonas: Well, we would handle, I mean, obviously anything related to the products that we have, which is the pumps, obviously seals, the valve components in that. And we would do a lot of analysis work on those components as well supply new pieces of equipment.
Mark Blinn: Our equipment's kind of core to the steam cycle process and some of the things around it so...
William Bremer - Maxim Group LLC: But Flowserve is involved in terms of the original analysis of a reactor?
Tom. Pajonas: Not in the, what's called the hot core of the reactor. But our components are used in various processes, so certainly we have to be part of that overall engineering analysis work.
Jamie Sullivan - RBC Capital Markets Corporation: And what type of -- can you give me a ballpark, I mean, I know that nuclear reactors are quite expensive in terms of size, but what type of project in terms of revenue would one of these projects represent?
Tom. Pajonas: Well I mean, if you take a look at -- I mean typically on a nuclear power plant, and this is very typical because they're all different type of applications, I mean, you could have somewhere around, for pumps, valves and seals, USD$60 million to USD$80 million. And then don't forget you have the overall reactor life over the next 40 years. And again, just as an overall wrap, that could be 2x the original equipment over the next 40 years.
Operator: Your next question comes from the line of Paul Mammola [Sidoti & Company].
Paul Mammola - Sidoti & Company, LLC: If I could take you back to IPD, obviously the year-over-year deleverage makes sense, but it looks like the same sort of revenue sequentially. So I was curious, what's impacting, or can you give us a general sense of what's impacting margin there?
Mark Blinn: Are you looking at the adjusted? I mean they took some realignment charges in the second quarter.
Paul Mammola - Sidoti & Company, LLC: So adjusted is 10.9 versus, all right, 11.3. That makes sense. Okay. The other thing is, in the Q, there was a tax note that there's $9.5 million to $25 million that could come back in terms of settled tax items. Any sense of where that falls, and is any of that incorporated in the guidance this year?
Richard Guiltinan: Well, when we think about our tax rate for the guidance, we normally start off a kind of a view of a structural rate of about 28%, recognizing the extent of our foreign operations, and then we look at what the possibility for resolution of audits, expiring statutes of limitations, and we normally try to think about how that might flow through the full-year rate. The tricky bit about that is, when and how much is obviously dependent on the resolution of the matter at the time. And I think that's probably all I want to say about the rate right now.
Mark Blinn: Yes, I mean just generally high-level, because oftentimes people try to look at these things as one-off. When we have a higher source of foreign revenues and income, that'll drive our tax rate down. That's linked directly to our operations. And then also, we get benefits from planning activities as well. You used to be able to, years past, move those into your tax rate. Now the requirements are is that they're fairly lumpy as we've talked about. And then the third aspect, as Dick talked about, is there's things that we resolve that are probably more discreet. So that's why, when we look at our structural rate, we talked about at the beginning of the year, it has come down mainly because we're seeing the benefits of some planning, and also because we're getting benefits from more foreign-source income.
Paul Mammola - Sidoti & Company, LLC: And then, I know you mentioned you're not trying to provide mixed guidance, but can you remind us where in this last cycle, where aftermarket sales peaked as a total percentage? And do you think there's upside here in the near term where you are at 38%?
Mark Blinn: Well, I think I looked at those years and years ago, and I think aftermarket got as high as 47% or 48%. But I'd just caution you, that's probably eight years ago. The company's different. It's certainly different from then, so that would be difficult. We want them both to grow.
Operator: Your next question comes from the line of Wendy Caplan [SunTrust Robinson Humphrey Capital Markets].
Wendy Caplan - SunTrust Robinson Humphrey Capital Markets: Dick, you talked about $100 to $115 million in CapEx this year. Can you split that up for us in terms of the kind of capital project, brick-and-mortar equipment, some sense of that please?
Dean Freeman: Hi Wendy, it's Dean. We've historically not called out the breakup of our capital expenditures, but I would say broadly, as we think about it, we continue to invest in our aftermarket business, our geographic footprint, significant investment in continuing to grow our business in Brazil, Latin America specifically, as we've called out before. We continue to work on our IT platform and optimization. And last but not the least, as we've talked about, the realignment efforts have generated need for capital, as well. So that's all I think about it in terms of the spend heretofore in the second half of the year.
Wendy Caplan - SunTrust Robinson Humphrey Capital Markets: And one other cash flow question, if I might. Working capital was about, if my calculations are right, about $0.29 per sales dollar in the quarter. Is there something inherent about Flowserve that characteristically that makes this the right number? Or do we think that it can go down from here? And what are the sort of trigger points that we're focused on?
Mark Blinn: Wendy, I can't do that $0.29 calculation, but I can tell you directionally, we do want to improve on our working capital. You've heard us from time to time, we do tend to burden it sometimes, particularly around motors to make sure that they're available when we want to deliver the pump because it's late, but would be to avoid it being late. But we do have to improve our working capital. And I want to certainly come right out and say, we have definitely room for improvement.
Wendy Caplan - SunTrust Robinson Humphrey Capital Markets: . Is there a magic number?
Mark Blinn: We were looking at primary working capital as a percent of overall revenue and it's trailing revenue. So what happens is, when you have a declining sales environment and things start to ramp back up, it'll look like a burden. But generally, we'd like to get this thing to 20% to 21%, on a normal, on an average run rate is primarily working capital.
Wendy Caplan - SunTrust Robinson Humphrey Capital Markets: . And again, to go to my original question, so there's no kind of something inherent about Flowserve that makes that impossible?
Mark Blinn: No. And keep in mind, that's advance cash as well, the 20% to 21%, but there isn't. There's not anything inherently.
Operator: [Operator Instructions] And there are no further questions in queue. I would like to turn the conference back to Paul Fehlman.
Paul Fehlman: Thank you, Michael. I'd like to remind everyone that this webcast will be available on our website for replay in approximately two hours, and thanks for joining us on the call today.
Operator: Thank you ladies and gentlemen, for participating in the Q2 2010 Earnings Conference Call. You may now disconnect.